Operator: Ladies and gentlemen, thank you for standing by. And welcome to Standex International’s First Quarter 2016 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speaker’s remarks, there will be a question-and-answer session [Operator Instructions]. I will now turn the call over to David Calusdian from Sharon Merrill Associates to begin.
David Calusdian: Thank you, Laurie. Please note that the presentation accompanying management’s remarks can be found on Standex’s Investor Relations Web site, www.standex.com. Please see Standex’s Safe Harbor passage on Slide 2. Matters that Standex management will discuss on today’s conference call include predictions, estimates, expectations and other forward-looking statements. These statements are subject to risks and uncertainties that could cause actual results to differ materially. You should refer to Standex’s recent SEC filings and public announcements for a detailed list of risk factors. In addition, I would like to remind you that today’s discussion will include references to EBITDA, which is earnings before interest, taxes, depreciation and amortization, adjusted EBITDA, which is EBITDA excluding restructuring expenses and one-time items; non-GAAP net income; non-GAAP income from operations; non-GAAP net income from continuing operations and free operating cash flow. These non-GAAP financial measures are intended to serve as a complement to results provided in accordance with accounting principles generally accepted in the United States. Standex believes that such information provides an additional measurement and consistent historical comparison of the Company’s performance. A reconciliation of the non-GAAP financial measures to the most directly comparable GAAP measures is available in Standex’s first quarter news release. On the call today is Standex President and Chief Executive Officer, David Dunbar and Chief Financial Officer, Tom DeByle. Please turn to Slide 3 as I turn the call over to David.
David Dunbar: Thank you, David and good morning. We executed well in the first quarter of the fiscal year, reporting solid margins and a strong EPS performance. For Q1, overall revenues were down 1.8% to $198.4 million with foreign exchange having a negative effect of 3% and acquisitions contributing positive 2%. As a result of our aggressive efforts to improve the bottom line, even with the year-over-year decline in sales, non-GAAP operating income was up 7.6% and first quarter EPS was up 7.2%. We had a net debt position of $9 million at the end of Q1. Our focus on improving the operating performance in the food service business is paying off, as we generated a 13.1% EBIT margin in Q1. We’re continuing the transformation of that business, and we’re encouraged by the progress. Engraving, Electronics and Hydraulics also performed well during the quarter, while Engineering Technologies continue to be affected by the decline in oil and gas markets. That said, we see great growth potential in that business, primarily as a result of opportunities in Aviation. At our Investor Day last month, we discussed our new value creation system and provided more detail about how we’re executing against each of its four pillars. We’ve made significant investments in this system in order to capitalize on the opportunities we see to drive significant value out of each of our five operating platforms. Much of our investment has been in the form of human capital, hiring the right people do effect positive change across the organization. At the Investor Day, you heard from our new VP of Operational Excellence, Don Clark, who is brought into deploy lean tools across the Company to improve capital efficiency and eliminate ways in order to drive value to the customer and to our shareholders. We also brought in Paul Burns as VP of Business Development to head both M&A and the Standex growth disciplines which is the way we identified growth opportunities, test them efficiently and invest in the best opportunities to grow profitability. We’ve also hired a new HR leader, Ross McGovern to run our talent management program to attract, retain and develop the best employees. In January, we’ve brought in Anne De Greef-Safft to lead our Food Service Equipment Group. So we’ve been taking the necessary steps to strategically align our resources at the corporate level and we’re already starting to see the benefits of those investments in our operating platforms. With that as an introduction, I’ll turn the call over to Tom DeByle to discuss our results for the first quarter, and then I’ll be back to review our five operating platforms in detail. Tom?
Tom DeByle: Thank you, David, and good morning everyone. Slide 4 shows our historical trend and adjusted earnings per share and sales. On a trailing 12 month basis adjusted earnings per share was $4.65 through September 30, 2015 versus prior year of $4.27, an 8.9% increase. Sales were $769 million on a trailing 12 month basis as a of September 30, 2015 versus $740 million in the prior period. Please turn to Slide 5. Three of the five segments reported organic growth for the quarter. On the chart, you can see the contributions from acquisition and the currency effect for each segment. Overall, organic growth was slightly down with acquisitions contributing 2% versus Q1 last year due to the Enginetics acquisition. Currency had a negative effect of 3% which resulted in an overall sales decline of 1.8% to $198.4 million for the quarter. Please turn to Slide 6 which summarizes our first quarter results. Excluding special items, operating income grew 7.6% to $24.6 million from $22.9 million a year ago. Adjusted EBITDA grew 7.6% to $29.2 million or 14.7% of sales compared with $27.2 million or 13.4% of sales in Q1 last year. Within our earnings release, you will note that corporate expenses were up for the quarter. This is primarily the result of realignment of corporate functions and investments made in the value creation system. As we transform Standex into a true operating Company, we are making more of the strategic investments at the corporate level, while we see resulting tangible sales and profit improvement benefits at the segment. Please turn to Slide 7 which is our trailing 12 month bridge that illustrates the impact of special items on net income from continuing operations. For Q1 of fiscal 2016, these items included tax affected restructuring charges of approximately $3 million and $0.7 million of acquisition related charges. Turning to Slide 8. Net working capital at the end of the first quarter of fiscal 2016 was $148.7 million compared with $155 million a year earlier. The decrease in working capital is primarily related to the impact of currency year-over-year. Overall, working capital turns are trending at historical mark. Slide 9 illustrates our debt management. We ended Q1 in a net debt position of approximately $9 million. This compares with the net debt position of $52.8 million a year earlier. We define net debt as funded debt less cash. Our balance sheet leverage ratio of net debt to capital of 2.5% compares with net debt to capital of 13.3% a year ago. Slide 10 summarizes our capital spending, depreciation and amortization trends. In 2016, we expect that our capital spending will be in the range of $26 million to $28 million. Approximately $6 million relates to our Aviation facility expansion in Wisconsin. The remainder of the capital spending will continue to support our growth initiatives, factory automation and ongoing maintenance. Slide 11 details our free cash flow performance, which was $2.5 million for the first quarter. We generated $0.20 of free cash flow per share during the quarter compared with the use of cash of $1.41 per share during the same quarter last year. Free cash flow conversion is seasonally lower in Q1. With that I’ll turn the call back to David.
David Dunbar: Thank you, Tom. Please turn to Slide 13, and I’ll begin our segment overview with the Food Service Equipment Group. As I mentioned at the outside of the call, we reported strong improvement in Food Service Equipment operating income margins to 13.1%. Margin improvement continues to be a key area of focus for us within Food Service. Sales decreased 5.8% from Q1 last year, driven by lower volume at refrigeration. Cooking solutions was up during the quarter, and our display merchandising business continued to perform well. In refrigeration, sales to large national chains continue to be soft in Q1 and were the primary cause of the year-over-year revenue decline. Dollars to our sales also continue to be soft as a result of the merger in that sector, but we expect this to be temporary. Sales through dealers as well as scientific and industrial increased year-over-year. C-stores and other small footprints retail remained steady, specialty solutions decreased by 2.2%. In cooking solutions, sales increased by approximately 4% year-over-year driven by grocery. Our Ultrafryer acquisition remains on track, and is performing well and we’re actively investing in its line of products. In Q1, we lowered material cost by 190 basis points across the segment. The transitional cost from last year’s plant move, warranty price concessions and freights and distribution costs continue to trend down, and plant productivity is improving. We are encouraged to better operational excellence initiatives that cooking solutions are achieving the intended results. With these operational excellence initiatives in place, and performance heading in the right direction, the cooking solutions team is now beginning to review its strategic initiatives by product line, ensuring that the whole team remains aligned with the Standex 2020 vision. To sum up, our focus continues to be on margin improvement within Food Services Equipment. As a reminder, Q4 and Q1 are the seasonally strongest quarters for this business. So as we move along in fiscal 2016, while we do not expect to exit each quarter at a 13% margin, we are taking great strides in transforming this business and we’re working to achieve our longer term EBIT target of 15%. We are investing in our plans to make them more automated and efficient and we are focused on driving costs out of the business. Turning to Slide 14. The Engraving Group had a strong quarter, achieving record orders, sales and EBIT. Sales growth of 19.3% was primarily driven by Mold-Tech North America and China. Organic sales were up 30.8% and currency had an 11.5% negative impact. Operating margin was 29.6% with operating profit up 42.7%. Our Mold-Tech business in China reported volume of approximately 50%. Sales volume also increased in Europe which was masked by the negative currency effect. North America sales improved during the first quarter of 2016 driven by new model launches. In addition, some automotive projects were pushed out from the fourth quarter into Q1, and other rollups that were scheduled for Q2 were pulled into Q1. Sales were up at our roll plate and machinery business. Our Innovent business also had a good quarter. During the quarter, we also learned that some new platforms from several global auto OEMs will require textures that can only be produced with laser engraving technology. I have communicated that we are watching this market evolution closely, and as our customers’ needs change, we will invest to support them. With these new customer plans, we intend to increase our capital investments to increase our laser engraving capacity. The demand trends and momentum into engraving are certainly strong. At the same time, we saw a perfect storm of positive factors in Q1, so we don’t expect this level of performance to be sustainable. Going forward, we’ll continue to focus on delivering new model launches, leveraging sales from our architecture design center hubs, and capitalizing on demand for new technologies, such as nickel shell and laser. We also continue to ramp up our new location in Sweden. Please turn to Slide 15, our Engineering Technologies Group. Organic sale was down 27% year-over-year primarily due to lower energy sales, as well as softer demand from the space and medical markets. The aviation market continues to be strong. The Enginetics acquisition added 20.6% and currency was negative by 1%. Profitability was impacted by lower volume and overhead absorption in the Wisconsin and UK factories. We are repositioning the business because of the ongoing severe oil and gas market headwinds and we’ve shifted our focus to the aviation market where we’re seeing very good demand and opportunity. You can see from the bar chart that our exposure to our commercial aviation continues to ramp compared with last year, while our exposure to oil and gas has declined. Moving forward, our focus is on pursuing and winning new awards in aviation, which we see as a growth opportunity. We’re expanding on capacity in Wisconsin in order to meet the demands of our currency contracts and future opportunities in aviation. At Enginetics, demand is good and we see opportunities to drive further value out of that business through operational improvement. This business is one of the first focus areas for Don Clark, our new VP of Operational Excellence. We’ve hired a new plant manager to oversee the operation and we’ve assigned one of Don’s operational excellence rangers to the facility. Looking forward, we remain concerned about the slowdown in oil and gas, but we’re proactively adjusting our cost structure to align with market conditions, and putting in place additional cost controls to regain a quarterly operating margin of 15% by the time we exit the fiscal year. At the same time, we are excited about our Enginetics acquisition and aviation opportunities as we continue to invest capital and install capacity for the ramp up of our long term awards. Please turn to Slide 16, Electronics. Electronics sales increased organically 1.5%, but including FX, declined 5% year-over-year; China and Europe grew, but were offset by a slowdown in North America as the number of large accounts were destocking. However, we expect this as temporary and North American sales should improve in the second half of the fiscal year. Backlog was up slightly in all regions. Operating income was flat year-over-year despite the sale shortfall and supply chain cost savings and spending controls offset lower volume. Looking at our markets, industrial and medical were down, while transportation was up. Sensors were flat from the prior year. We continue to see more opportunities in sensors and we’re accelerating the growth laneways in sensor technologies through market tests. Magnetic sales were up in the quarter, driven by military, aerospace and our Planar business. After the close of the quarter, we acquired Wisconsin based Northlake Engineering. Northlake directly supports our electronics group strategy to expand our high reliability magnetic business into adjacent markets to drive growth and profitability. This acquisition positions us to provide a wider array of solutions to customers in the power generation and medical equipment markets. The integration process is on track, and we are currently working on the sales team operations and supply management. Already the team has identified $300,000 of material savings from Northlake. We remain optimistic about the electronics business long term. Going forward, we’re focused on integrating Northlake, continuing to rollout the operational excellence playbook in Europe and China and pursuing new applications and adjacencies to drive sales growth and profitability. Our Hydraulics Group, as you can see on Slide 17, had another solid quarter. Sales were up 4.3% year-over-year primarily related to the dump truck and trailer market, which is sided the strong North American construction environment. We’re also continuing to see strong demand from the refuse market. Operating margins were 18%. On the operations front, we installed robotic welding machines in our Ohio facility and added machining capacity in China to improve quality and throughput. Looking ahead, we’re focused on pursuing new business opportunities that require robust custom engineering designs and completing the field test of our new press and pack 4000 series cylinders for the refuse market. Please turn to Slide 18. In summary, with record first quarter results, we’re up to a strong start to the fiscal year. We’re taking the necessary steps to improve each of our businesses, and we’re beginning to see the results of these efforts. Our margin performance was very strong with improvement in four of our businesses. We were especially pleased to see the improvement in Food Service Equipment Group. In Engineering Technologies, we’re repositioning the business to capitalize in growth prospects in aviation and into slowdown in oil and gas. As we invest in capacity for the aviation market, we’ve aligned the business to near term demand and expect to reach to an operating margin of 15% in this business by the end of the fiscal year. And we look forward to carrying the momentum we’ve generated in engraving Electronics and Hydraulics into Q2. Across the organization, we are focused on executing on the four pillars of the Standex value creation system to drive performance in the business and combine operational plans with strategic priorities. Finally we continue to be cautious about currency expectations, oil and gas markets, and regional economic conditions. With that, Tom and I will take your questions.
Operator: [Operator Instructions] Your first question comes from the line of Jack O’Brien of CJS Securities.
Jack O’Brien: First off nice drive in the Food Service Group margin expansion. Hoping if you could give some additional details on what accounted for the sequential margin expansion from Q4 ’15 and more specifically in regard to issues stemming from the Nogales transition?
David Dunbar: Well, you recall that material margins are expanding. In Q4, you may recall we put in place a group wise strategic sourcing leader to drive material programs across Food Services and starting to see some benefits there. In refrigeration, last year, we put some automation to one of our plants, which is driving productivity improvements in that plant. Our OpEx initiatives are driving productivity across all the lines in refrigeration. On the Nogales front all of the things we talked about in Q2 and Q3 price concessions, freight, material, warranty, they all continue to trend down, and those are the contributors to the margin improvement.
Jack O’Brien: And then switching over to the Engineering Tech Group obviously lot of changes going on in terms of that market and concentration and shift to aerospace, aviation. Can you give us an update on what the next 12 to 24 months looks like in that business, so little puts and takes regarding program ramps and when you expect margins to stabilize a bit there?
David Dunbar: So we did communicate today that we believe that Q4 we hit back to a 15% margin. In this quarter next and the most difficult quarters the business will face -- there is a dramatic ramp going on in Enginetics. When we acquired Enginetics, they had a number of long term agreements that were scheduled to ramp now and the primary issue that business is facing is operationally to be able to support that increase in volume, that’s why we’ve got a dedicated ops leader there. We put in one of our lean rangers spending their time there, Don Clark as well. So the -- thinking about your question about expectations about growth, I think to people we said about this business as -- we see good single digit growth long term driven by growth in aviation. What we as say -- you will start to see that in the second half of the year once on the comps on oil and gas become more flat year-to-year.
Jack O’Brien: Do you expect sequential margin improvement in the segment, in the next quarter or is it going to be a very quick step up in the back half of the year?
David Dunbar: Maybe some margin improvement in the second quarter, but it will be a Q3-Q4 margin improvement, that 15%.
Jack O’Brien: Understood. And then last question from me, just regarding Northlake, nice side on the acquisition. In the release you mentioned it would be breakeven this year than $0.04 to $0.06 accretive in ’17. You mentioned that there’re plenty of cross selling opportunities with that business. Are any of those included in the initial accretion guidance that you’ve given? And if you could expand on some of those, that’d be great?
David Dunbar: We had modest sales synergies in initial guidance, so the reference that we made today on things that we’re discovering as we meet with customers, as part of the integration. So we think that’s upside for our regional communication. But the volume -- because of the time -- the time it takes to develop samples of prototypes, it’s probably about fiscal 2017 volume opportunity for us.
Operator: Your next question comes from the line of Schon Williams of BB&T Capital Markets.
Schon Williams: Just lot of moving pieces here, Electronics, can you talk about why you think the stocking in North America, why do you think that’s temporary? And what’s driving that?
David Dunbar: The North American performance came as somewhat of a surprise to our team. And as they check with their customers, the response they got with the programs are still on track and we just have to do with phasing of their stock and the timing in which they place orders with us.
Schon Williams: Any particular end market that was highlighted?
Tom DeByle: With the white goods basically the appliances.
David Dunbar: Within that Schon we did mentioned this is something encouraging. The business is pursing the same approach to the market in Europe and North America. The base market is softer we were 5% in Europe. So, I tend to -- and give greetings to what their customers have told the business in North America and as we communicated, we think second half Q2 and beyond, we see growth in North America.
Schon Williams: And then maybe coming back to the Engineering Tech, it is a bit surprising to talk about going from 3.5% margin back up to a 15% margin, which was essentially the margin you’re at last year despite the fact that you had energy as more of a benefit at least in the first half of last fiscal year. So just, I don’t know, help me understand exactly how many people are we taking out, is everything already been put in place and it’s essentially manufacturing variances that are going to drive that. Just a little bit more detail, because it’s quite a substantial step up that we’re talking about here to get back to that 15?
David Dunbar: I would tell you that compared to our international expectations, the business performed slightly better. The drop in oil and gas is a very high margin business the year-on-year comp this quarter is the toughest in the entire year. Aviation ramp from Q1 through the end of the year just in Enginetics will be closer to $10 million volume increase year-on-year. So the aviation really starts to kick in as strong in the second half, that’s the primary driver that comes in. Cost out is largely and we’re taking some additional heads out this quarter in the businesses that support oil and gas and energy business and that will help to some extent. But it’s second half volume from aviation that would really drive it.
Schon Williams: And then maybe just help me on the engraving. Seems like a lot of things went your way in the quarter, just in terms of some things shifted from Q4 into Q1, you pulled some orders from maybe from Q2 into Q1, dramatic improvement in the margin on a year-over-year basis. Just so we don’t get too far out on our -- over our seats here, I mean, should I be expecting a pullback as we go into fiscal Q2 and Q3, or just help me think about how much of the volumes ended up in Q1 and maybe your -- displaced from the other quarter. How I should be thinking about the rest of the year?
David Dunbar: We just said that from a macro standpoint what was communicated -- longer term expectation about this business we think is 5% to 7% through the cycle growth. This quarter obviously was a perfect storm of elements to drive above that. Last quarter in our earnings release we did comment on last quarter’s sales that some programs have been pushed out. They did show up this quarter. And then today I mentioned that we still expect momentum into Q2, not as much as -- we won’t see as much growth in Q2 as we saw in Q1. But we see growth returning to that historic line is our expectation.
Schon Williams: So you still think as we move into the next few quarters, organic growth and Q2-Q3 can still be in that mid to high single digit level. Is that what you’re saying?
David Dunbar: No, what I am saying is we returned to that long term guidance of the 5% to 7%.
Schon Williams: Okay, now that’s helpful. And then maybe just one more if I may. It sounds like refrigeration is a bit of a headwind within Food Service right now. Can you just talk about, what is driving that in your customer base? Is that weaker customer -- I am just trying to get a sense, is it a timing issue, is it weaker customer, is it their underlying customers are seeing weaker demand that’s pushing off CapEx expansion. What’s driving part of that?
David Dunbar: I think the there is two elements, one is weaker demand from some large national chains like McDonalds, Subway, Tim Hortons, who’re spending less this year than they did last year. If you look at -- and other refrigeration companies are seeing softness in commercial refrigeration, so there is softness in some sectors of the market. The other half of our decline comes from our dollar store sales. Last year, we had great growth in Family Dollar we’ve a very good position with Family Dollar. But with the tie ups in Family Dollar and Dollar Tree that spending has slowed. We see that as a pause. We believe it comes back, maybe not Q2 but in the second half of the year, we expect that to start picking up again.
Operator: Your next question comes from the line of Liam Burke of Wunderlich.
Liam Burke: Dave outside of Ultrafryer, how have the some of your other brands done on the cooking solutions side of the business?
David Dunbar: Our BKI brand is doing great, Bakers Pride brand is doing very well. The brand that we have been struggling with last year what’s the source of the most of the challenges we had is APW brand, the TriStar brands. That’s where the transfer from Cheyenne to Nogales was the most challenging. I would say those are -- we're still carrying in the catch up mode on those there is the customers of those brands that had the most difficult year in the last year. But the growth we’re seeing in cooking solutions, strong BKI sales into groceries and Bakers Pride and across the Board, the sales of their others.
Liam Burke: And on the refrigeration side, now have the drug chains sales been I understand there might be some pick up on the refrigeration with the need to displace cigarette sales. But in general how have the drugs been doing?
David Dunbar: Yes, we saw pick up in the quarter. I am going to told you in the script, but we did see a pick in the quarter from drug retail.
Liam Burke: And lastly Tom on the cash flow side, you did point out is seasonally weak spot compared to last year very strong. There’ve been any changes in the working capital management or is it just seasonality here or how has the improvement been -- what has been driving that improvement year-over-year?
Tom DeByle: Working capital is down year-over-year and that was driven by currency of about $8 million and then partially offset by some inventory adjustments. But no I mean I think from a cash flow standpoint we spent more on CapEx last year first quarter than we did this year, that contributed to it and it is seasonally lower in Q1.
Operator: [Operator Instructions] Your next question comes from the line of Chris McGinnis of Sidoti.
Chris McGinnis: Just to revisit the dollar store. Does the consolidate -- does that pose maybe a benefit to you once the integration is complete?
David Dunbar: Yes, we do see it as a benefit. We have a good position in Family Dollar. We have no position in Dollar Tree. And so we think that opens up opportunities for us.
Chris McGinnis: This is a seasonally weakest quarter for Food Services, is that -- did I hear you correct?
Tom DeByle: No, the seasonally weakest quarter is our third quarter which is January to March.
Chris McGinnis: And just a follow up on last time I am bringing up for you guys, I know it’s been a headache. But just on Nogales, are we passed everything now or are there is still some operating inefficiencies?
David Dunbar: There is still operating inefficiencies -- we’re about back to we're in the 18 months ago. Warranty is still a bit high but we’ve communicated before there is a long tail to that apparatus trending in the right direction. But I would say even getting back to where we were a couple of years ago is not good enough in that business. And we look at the ways it performed two years ago we still have operational improvement beyond that. So we’re spending a lot of our OpEx ranges times are being spent in Nogales to drive continuing improvement there. So, we’re on journey in that business. We like the progress we’ve seen in the last couple of quarters. But we’ve got a few more years to go.
Chris McGinnis: And then last question, just on maybe can you talk a little bit about the pipeline within Food Service for constant new products coming out? I know you touched on it on the Analyst Day and just want to revisit that.
David Dunbar: Yes, on the BKI side, we have some exciting new products come out that’s driving some of the growth now. And we hope through the year we’ll be able to communicate and other programs from BKI. Ultrafryer has some new products they’re developing and are in test with customers now. Our scientific and industrial refrigeration have some new products. So, I would say we have a pretty good pipeline but the focus of that business continues to be on margin and operational excellence. Although with the momentum and the confidence we have, we’re on the right track and our teams are starting to devote more energy to strategic questions about product strategies, new product development. And I would imagine, through the course of the year, you will start to hear more and more discussion at new products from us.
Operator: Your next question comes from the line of John Cummings of Copeland Capital Management.
John Cummings: I saw you raised your dividend yesterday by 17%. Can you tell us a little bit more about your philosophy there? And do you have any targets in terms of payout ratio and also should we expect the dividend to just continue to grow on a year-over-year basis?
Tom DeByle: Well, we did raise our dividend like you said 17% yesterday, and each year at our Board meeting, our Annual Board Meeting, right before our Shareholder Meeting, we do review our dividend and of course we review it on a quarterly basis. We haven’t announced the target for our dividend but we’re at 6% yield -- 0.6% yield, and we feel that that’s adequate going forward. We want to return -- this was our 205th dividend -- consistent dividend over the years. And we’re having a plot to be of increasing the dividend each year. But we’re balancing that with capital spending of course and with acquisition opportunities.
Operator: At this time, there are no further questions. I’ll now return the call to David Dunbar for any additional or closing remarks.
David Dunbar: I want to thank everybody for joining us today. Good bye.
Operator: Thank you. That does conclude the Standex International first quarter 2016 earnings conference call. You may now disconnect.